Ashley Curtis: Good morning, I'm Ashley Curtis, Assistant Vice President of Investor Relations, and I would like to welcome you to Tanger, Inc.'s First Quarter 2025 Conference Call. Yesterday evening, we issued our earnings release as well as our supplemental information package and investor presentation. This information is available on our website, tanger.com. Please note that the call may contain forward-looking statements that are subject to numerous risks and uncertainties, and actual results could differ materially from those projected. We direct you to our filings with the Securities and Exchange Commission for a detailed discussion of these risks and uncertainties. During the call, we will also discuss our non-GAAP financial measures as defined by SEC Regulation G. Reconciliations of these non-GAAP measures to the most directly comparable GAAP financial measures are included in our earnings release and in our supplemental information. This call is being recorded for rebroadcast for a period of time in the future. As such, it is important to note that management's comments include time-sensitive information that may only be accurate as of today's date, May 1, 2025. At this time, all participants are in listen-only mode. Following management's prepared comments, the call will be opened for your questions. We request that everyone ask only one question and one follow-up question. If time permits, we are happy for you to requeue for additional questions. On the call today will be Stephen Yalof, President and Chief Executive Officer, and Michael Bilerman, Chief Financial Officer and Chief Investment Officer. In addition, other members of our leadership team will be available for Q&A. I will now turn the call over to Stephen Yalof. Please go ahead.
Stephen Yalof: Good morning. I'm pleased to report that Tanger has started 2025 with continued positive momentum, delivering a robust first quarter that builds on our outstanding performance from last year, and we are reaffirming our full-year same-center NOI growth and core FFO guidance. Our first quarter core FFO increased to $0.53 per share, driven by a 2.3% rise in same-center NOI. Strong revenue growth was partially offset by higher snow expense in the quarter and certain expense refunds benefited our results in the first quarter of 2024. Traffic, particularly over the past two months, has been strong, and we are encouraged by this positive momentum leading into our very important summer selling season. Sales for the trailing 12-month period averaged $455 per square foot for the total portfolio, up from the prior quarter and year, due in part to the execution of our strategy of merchandising, replacing less productive tenants, and evolving our portfolio. We ended the quarter with occupancy of 95.8%, which reflects an anticipated seasonal decline from year end and further reflects our strategy to add new in-demand retailers and uses, replacing poorer performers. Much of this modest decline in occupancy is the result of timing between old tenants leaving and new tenants taking possession. We continue to expand into new categories and welcome new brands as we diversify our offerings and create environments that encourage more frequent visits, extended stays, and drive increased spend across a broader customer profile and age range. Our strategy is resonating with our widening shopper demographic. Although executing this strategy may yield lower near-term occupancy, we are delivering solid same-center NOI growth while positioning our portfolio for continued growth in coming years. Leasing activity remains solid. We executed 2.5 million square feet over the trailing 12-month period, representing nearly 550 transactions. Renewals executed or in process through April 30th of 2025 totaled 57% on space scheduled to expire during 2025 compared to 47% over the same period last year. With our 13th consecutive quarter of positive rent spreads, our brand partners continue to show confidence and invest in expanding their presence within our Tanger centers. Ancillary revenues continue to grow as our tenants and other national consumer brands see the value of utilizing our platform to reach sought-after shoppers. Additionally, as we continue to optimize our digital capabilities, we are gaining enhanced customer insights and analytics that enable us to partner with our retailers to deliver targeted real-time promotions that best resonate with shoppers, ultimately driving increases in both traffic and sales performance. We continue to execute on our external growth strategy. As previously announced, during the first quarter, we acquired Pinecrest, a lifestyle center in Cleveland, which followed the purchase of the Promenade at Chenal in Little Rock in December. In recent years, we've made significant strides in differentiating our platform to maximize growth potential within our existing portfolio while capitalizing on value-creating opportunities through strategic expansion. Our first quarter results reflect the ongoing execution of this strategy to elevate and diversify our centers with the retailers, restaurants, and entertainment that shoppers want. As uncertainty grows within the broader macro environment, we remain confident in Tanger's positioning and our differentiated model. First and foremost, we've established a field-led organization that we believe provides for the ideal combination of scale and flexibility. We prioritize how we show up every day for our retailers and our shoppers, and by staying close to them, we remain nimble against an evolving consumer landscape. Additionally, Tanger's value positioning continues to resonate with consumers. Today, we will launch our Tanger Deal Days campaign. In partnership with our retailers, this marketing initiative will reinforce the value and great brands messaging at Tanger Centers, leading to our Summer of Savings launch in June, where every day of summer offers back-to-school sales, encouraging our guests to shop earlier in the season. Our high-quality assets are strategically located in metropolitan areas that serve both tourist destinations and local communities, which continue to benefit from demographic tailwinds and employment growth, validating our market positioning, value proposition, and expansion strategy. We maintain unwavering confidence in our ability to deliver compelling value to both retailers and consumers. Our well-positioned, conservatively leveraged balance sheet, combined with our consistent generation of strong free cash flow, provides stability and the flexibility to pursue opportunistic growth. On behalf of the entire Tanger team, I want to thank Dave Henry for his nearly 10 years of service on the Tanger board, including his time spent as our Lead Director. Dave will be retiring from the Tanger board after our annual meeting next week. I also want to extend my sincere appreciation to our dedicated Tanger team members, retail partners, loyal shoppers, and financial stakeholders for your ongoing support and confidence. I'd now like to turn the call over to Michael.
Michael Bilerman: Thank you, Steve. Today I'm going to discuss our first quarter financial results balance sheet and then provide an update on our outlook for the remainder of the year. The first quarter, we delivered core FFO of $0.53 a share compared to $0.52 a share in the first quarter of the prior year. Same center NOI increased 2.3% for the quarter, driven by higher rental revenues from the continued strong retailer demand and leasing activity, as well as the ancillary revenues that we derived from our portfolio and platform. As we had anticipated and discussed in our last call, our first quarter same center NOI growth was impacted by higher snow expenses this year and certain expense refunds that we received in the first quarter of last year. In February, we completed the acquisition of Pinecrest in Cleveland for $167 million, using cash on hand and draws in our line of credit. We've also further improved our portfolio through the recent sales of non-core center in Howell, Michigan in April for $17 million. In conjunction with this sale, we recognized a non-cash impairment charge of $4.2 million in the first quarter. Our balance sheet remains well positioned for stability and funding of our internal and external growth initiatives with low leverage, largely fixed rate debt, ample liquidity through our lines of credit and undrawn forward equity, and the additional free cash flow we produce after dividends. At quarter end, our net debt to adjusted EBITDAre was 5.2x, and it was even lower with a full 12 months of EBITDA in the recent acquisitions and sale of Howell. From a liquidity perspective, we ended the quarter with $16 million of cash, $481 million available on our unsecured lines of credit, and $70 million of proceeds that are available from the potential settlement of our forward ATM agreements. Additionally, in April, we refinanced the mortgage of Tanger Outlets Memphis, increasing the borrowings by $10 million and extending the maturity date from October 2026 to April 2030 with no change to the interest rate. Our next significant debt maturity is in September of 2026. We also continue to manage our interest rate exposure, entering into $75 million of new forward starting swaps that will begin next February when $75 million of swaps expire. These new swaps tick SOFR at 3.3%, which is down 20 basis points from the maturing swaps at 3.5%. These new swaps will expire in April of 2028. In April 2025, the Board of Directors approved a 6.4% increase in the dividend from $1.10 to $1.17 per share on an annualized basis. The dividend remains well covered with a 53% dividend payout ratio as a percentage of our funds available for distribution in the first quarter. Now turning to our guidance for 2025, we are updating the EPS outlook to account for the non-cash impairment charge that I discussed earlier related to the Howell Center disposition. And from a core FFO perspective, we continue to expect core FFO of $2.22 to $2.30 per share, which represents growth of 4% to 8%. We continue to expect same-center NOI growth to be in a range of 2% to 4%. And we've maintained our ranges for interest expense, G&A, and CapEx. For additional details on our key assumptions, please see our release issued last night. We're also excited to continue to engage with our financial stakeholders at conferences and property tours. As there's no better way to get an appreciation for Tanger and how we're executing on our strategy than by touring our centers and meeting with our teams. We'll be hosting a tour of Tanger Outlets Charleston on May 8th in connection with Wells Fargo's Real Estate Securities Conference. We are attending BMO's North American Real Estate Conference in New York on May 13th. We'll be touring Bridge Street Town Center in Huntsville with one of our recent lifestyle acquisitions on May 14th in connection with Evercore ISI's Multi-Reap Property Tour. We'll also be at ICFC from May 19th through May 20th. We'll be hosting a tour of Tanger Outlets National Harbor on May 28th as part of BofA's DC Retail Tour. We'll be presenting at NAREIT Week in New York from June 3rd to the 5th. And finally, we'll be touring Tanger Nashville on June 11th with BMO and we hope to see many of you over the next few months. With that, operator, we can take our first question.
Operator: [Operator Instructions]. Our first question comes from the line of Andrew Reale with Bank of America.
Andrew Reale: It would be helpful to hear your thinking on what the impact to temp occupancy could look like if this macro uncertainty persists. So maybe can you just talk about how temp tenants behave during previous downturns or periods of uncertainty?
Stephen Yalof: Good morning, Andrew. Thanks for the question. Look, for Tanger, temp occupancy is a strategy and it always has been. So I think some of the best examples of temp occupancy, particularly in our portfolio, is our pop-up stores. Understanding the outlet business, which is our primary business, outlet retailers, there's a lot of barriers to entry before you get into the outlet business. First of all, a lot of these brands don't know how much excess inventory they're going to have and if they're using it strictly as a clearing model, they're going to want to make sure that they pop up first, try to see how much velocity there is, how much product they can move, how long it's going to take before they'll sign up for a long-term lease. So in the case of temp tenants in the pop-up arena, we've been speaking to a number of retailers that are very interested in being in the outlet business who are speaking to us about possibly going in on a short-term basis to understand what the outlet business is, how it can help their brands, how it could get their shoppers to convert into their ecosystem, get to understand their brand and their price point that they can afford going in. And it's just a great tool, great strategy. We've used it and we've talked about it for a number of quarters in the past. Have [Vineyard Vines] [ph] started that way, UGG started that way, and we've turned those into long-term retailers across our portfolio today.
Andrew Reale: Okay. Thank you. And maybe just as a follow-up, just curious if you've had any recent conversations with retailers about inventory expectations for the second half of the year. Just curious if they've shared any thoughts or if you have any thoughts on their ability to source inventory for back to school or the holidays. Thank you.
Stephen Yalof: Yes. As you probably are aware, we're in front of all of our retailers on a regular basis. We're speaking to our top retailers' inventory so far. What we're hearing is that there has not been much of an inventory issue. Again, in the outlet channel, we'll see a lot of that excess inventory will flow through our channel as new inventory will go into the full price arena. So what we're doing, though, this summer is in anticipation of perhaps some retailers who might consider getting their sales going earlier in the season. We're promoting our back-to-school sales starting with June 1st. So as we said earlier, today we launched summer deals, new promotion across our channel, but we're starting with a campaign starting as early as June 1st, much like our November Black Friday sales started on November 1st this year, just to get the customer who's thinking about getting into the stores earlier and starting to build their baskets much earlier. We're also doing the same thing with back-to-school shopping, which is typically an event that we host at the end of the summer. We're going to start to pull that forward to the beginning of the summer so that if folks are concerned that there might be less inventory or less choice and selection available to them, later they can stock up and buy those products earlier.
Operator: Our next question comes from the line of Todd Thomas with KeyBanc Capital Markets.
Todd Thomas: First, I wanted to ask about occupancy. I realize the occupancy impact from seasonality is largely a 1Q phenomenon, but do you anticipate an additional impact related to proactive re-merchandising or any additional vacate activity in the second quarter that you can speak about? Or should we expect occupancy to begin building back next quarter from here? Do you have a target for year-end occupancy that's embedded in the guidance?
Stephen Yalof: If you think about our current run rate of occupancy, a lot of that, to your point, Todd, is definitely in the re-merchandising. Now, we were just talking earlier about LEGO, which is going to take -- we have a legacy tenant in our Huntsville, Alabama, shopping center that's shut. LEGO opens up in two weeks. We had our first Marc Jacobs. We've done a number of Marc Jacobs deals. Our first Marc Jacobs store just opened up in an old legacy tenant location in Washington, D.C. And I think one of the bigger impacts is main event, which will be taking over a space that was recently vacated by Wayfair in Deer Park. So I think there's a lot of that timing noise and those numbers. I think as we continue to merchandise, and that's a re-merchandise, and I think that's an important part of our strategy. I mean, if you take a look at our rent spreads, Todd, we're over 30% on re-tenanting. We're over 10% on renewal. And a lot of instances where we have the opportunity to replace a poor-performing retailer with a much better, somebody new to the portfolio, somebody that will grow with us across our portfolio, we're going to take advantage of that. I think the fact that there's very little new retail space coming online in the United States right now, particularly in the outlet space. We have a unique opportunity to take advantage of the fact that there's retailer demand for our space. And we're going to try and reposition as much of that space as we can to set ourselves up to the long game for the future.
Todd Thomas: Okay. Are you able to provide an update for Forever 21 or any updates around timing to recapture some of that space? And are you able to share any backfill plans and timeline for that?
Stephen Yalof: Sure. So the Forever 21 store closures, we'd anticipated for quite some time. We were in constant communication with that brand. When we knew that they were going to be closing stores, we had already had lined up some temp replacement for most of those spaces. Now, as you probably know, those retail stores, there were nine of them, about 100,000 square feet. From a rent point of view, they're relatively low-rent payers. So our temp rent replacements will not be a material decline in what they were currently paying. And we think that there's a tremendous amount upside in all of those boxes. As I said to you earlier, I mean, there's not a lot of new space available on the market right now. There is increased demand, particularly from retailers that are not only willing to pay much higher rents but also doing much better sales performance.
Todd Thomas: Okay. If I could just sneak one more in here. I understand the value proposition of the outlet channel. And I think you mentioned that some of your retailers, they clear access merchandise. I think you were referencing a lot of the pop-ups, and I know a bunch of others do too. But a lot of retailers, I think some of the bigger apparel chains in particular, I believe, have separate made-for-outlet channels. And I was just wondering if you have a sense for that product, whether they plan to pass through higher prices to customers at the outlets. And I was just wondering if you could talk about that a little bit as we move further into the year and the impact from tariffs might change the pricing or value proposition dynamic a little bit at some of your centers.
Stephen Yalof: Yes. Well, I think the retailers, particularly in the outlet space, use those stores for a number of different reasons. If you take a look at the biggest athletic footwear player in the marketplace, every product in that store is excess inventory. There's no manufacturing for that business. And then there are other brands that do do some manufacturing for that business. My feeling is retailers in the outlet space can change pricing relatively quickly. So where in their full-price businesses, their plans are probably far more set to meet budgets during the course of the year. In the outlets, if they have excess inventory flowing into their channel, they can move those goods by quick price and promotion. So I'm not familiar with all the retailers' pricing strategy as it relates to outlet and going into the next quarter and the back half of the year. But I do know that they're going to be using that business extremely strategically because it's going to be the opportunity for them to move through excess inventory. If goods aren't flowing into the stores right now, goods are going to be late hitting some of their full-price businesses. They're going to want to have to turn that inventory into cash. And the best way to do it is in front of a consumer that wants to shop value, and that's who the 125 million people that shop Tanger Outlets, that's who that customer is.
Operator: Our next question comes from the line of Steve Sakwa with Evercore ISI.
Steve Sakwa: I guess I just wanted to ask maybe on Nashville, it's the most recent center you've opened that was built. Maybe a little surprised that it kind of ranks, call it middle of the pack, if you will, within the portfolio. So just curious, any thoughts you've had kind of on that center since it's opened as you kind of think about the merchandise mix and maybe what's worked and maybe what's been disappointing?
Stephen Yalof: I think a lot of shopping centers take a couple of years to build. Even the best centers in the country have taken 10 or 15 years to get to the sales productive volumes where they are right now. We always say when we open a center, we don't build it for opening day, we build it for the generation. And the important part of that is we learn. We put a number of retailers in that center right off the bat, some local, it just didn't work. But we also have replaced a number of retailers. We just opened a Kate Spade store and they were one of the most recent retailers to come into that shopping center. They're doing a great business there. We've merchandised that center with a number of food retailers as well. You think the National Food is doing extraordinarily well, but one of our best food performers is a local restaurant chain that has several stores in the Nashville area. So I think we have the opportunity to move some of these retailers around. I think we also, one of the things that we did was some of the stores are just a little bit too big. In a 300,000 square foot shopping center where we have about 65 stores, we probably could have had 75 to 80 stores in that shopping center. And if that were the case, we'd be far more dense and the sales productivity for each of the stores would be much greater because of it. So I think that those are sort of the early leads on Nashville. We're extraordinarily pleased with the business. We think the local community is definitely shopping that center. We're starting to see that tourism traffic pick up with our tourist traffic initiatives. And we're in this for the long game. So we think that center will be a really important part of our business as we go forward. And the center, if you've seen it, beautiful looking shopping center is definitely the model for what centers will and should look like going forward.
Steve Sakwa: Okay. Thanks. Maybe secondly, you guys obviously sold Howell, probably not high dollar value. I don't know if you have provided a cap rate on that, but just how do you think about the kind of lower tiered part of the portfolio today? I guess I'm thinking centers 28 to 33, and just ultimate monetization of those and redeploying that capital.
Stephen Yalof: Sure. Well, first of all, we'll take Howell separately. All of our centers cash flow positively. And all of our centers, particularly the outlet shopping centers are filled with national credit retailers. So Howell was built a long time ago. It was built at a time when outlet shopping centers were 50 or 75 miles away from regional malls. In many of our geographies, those markets have grown up and have become extraordinarily important to those communities. Population has built, demographics have built, other uses have developed around it. So in the case of Howell, that was slow to come. And so a lot of the retailers that have since replaced national outlet retailers are more local in nature, perhaps not the same credit. That's not the business that we're in. So we elected to sell Howell because that center is definitely going to take on a different life under new ownership. But as an outlet center, that's our focus. And we're in the national tenant, high credit, high rent paying, fixed rent business. And I think Howell moved away from that. As far as other shopping centers, there are very few centers that actually fit the Howell bill. I think that a number of our centers are really important in the communities. And we think there's great upside in that part of the portfolio. That doesn't mean if there's an opportunity to sell a center because, it's a deal we can't pass up. But currently, there's nothing on our list that we want, that we're looking to dispose of. And I think there's, we've got a lot of upside in our portfolio going forward. Operator, if there's a follow up, we can't hear the question.
Operator: Steve, your line is unmuted. It looks like you lost it there.
Stephen Yalof: Okay. He can reach you, if he's got a follow up question.
Operator: Our next question comes from the line of [Emily Barish] [ph] with BMO.
Unidentified Analyst: I wanted to ask you on the Howell asset, what was the cap rate on the disposition? And was this removal already contemplated in the prior guidance? And can you please speak to its impact on your same store results this quarter? Thank you.
Michael Bilerman: Thanks, Emily. So, the Howell sale in the original guidance wasn't contemplated. It's currently in the updated range that we've maintained. As Steve talked about, it's really not a cap rate type of transaction. It's embedded in the non-same center pool. So, there's a certain amount of NOI that comes out when we deploy the cash proceeds to repay our line. That's sort of where we are. And the second part of your question, Emily, I missed. Can you just repeat it?
Unidentified Analyst: Yes. I wanted to ask you about the impact on your same-store results this quarter of the disposition of the Howell asset.
Michael Bilerman: So, Howell is in the non-same center pool, so it's out of the same center NOI. Howell was our smallest asset, less than 1% of NOI. That NOI has been trending down, and certainly our view towards the future was, where the contraction was. And so, we had 2.3% same center NOI. If Howell were to include it, it would drop less than 10 basis points to 2.2.
Unidentified Analyst: Okay. Thank you. And same-store NOI, do you feel more comfortable at the lower end of the guidance bridge for 2025, or should we expect the same-store NOI to accelerate through the rest of the year?
Michael Bilerman: So our guidance is 2% to 4%. We talked a lot when we provided that guidance that the range has differing assumptions related to credit, our downtime, our rent spread, sales. So, there's a lot of variables that go into it. We continue to feel comfortable with that 2% to 4% range. And there's a number of things that can help us as we move through the year, as we report our second quarter, less of the uncertainty will be removed, and we'll be able to update that guidance over time.
Operator: Our next question comes from the line of Craig Mailman with Citi.
Craig Mailman: Just wanted to circle back. I know you guys mentioned timing lags as a driver of the accuracy decline. Specifically, Huntsville saw an accuracy dip. I know Steve had mentioned LEGO is going to open there. But could you guys just talk about what drove the sequential decline and what the backfill timing is going to be? And then just more broadly, on that asset, I know you guys brought an ACAP going in and talked about yield upside over time. With the remerchandising you guys have done so far, where are you in the process of that? Like, where does the yield today sit pro forma, maybe some leases you have on the comp versus the initial ACAP?
Michael Bilerman: Thanks, Craig. So, it was an eight-and-a-half cap going in. And we talked about the additional growth over time, and a lot of that growth is coming from that remerchandising activity that you're starting to see coming through and that we're talking about. So, we mentioned that LEGO store, but the big part of the occupancy was that former Bed Bath & Beyond box, which was 30,000 square feet. Now that 30,000 square feet, we had temped for a bit. We have some leases out for that space, and we'll be really excited to tell you once those are signed and what those are. And so, that 30,000 square feet was 625 basis points of Huntsville's occupancy and almost 25 basis points of that sequential occupancy decline, combined with that main event that Steve talked about at Deer Park. And so, our expectation is that we're going to continue to bring newness, and we're really excited about the retailers that are coming into Huntsville, both from a specialty perspective as well as a food, beverage, entertainment perspective.
Craig Mailman: And that didn't mean to shave off 50 basis points there, but I guess just the other part of the question, like, where's that eight-and-a-half is going to go pro forma kind of what you guys are underwriting for the Bed Bath backfill plus the LEGO and some other things that I've gone on? Like, what's the uplift you've seen so far versus what you think could happen over the next, in the medium term as other leases roll?
Michael Bilerman: So, what we talk about a lot in our acquisitions is we want those acquisitions to be greater growth than what our core portfolio is. Otherwise, we're not creating value. And so, we had a first year, which we talked about being eight-and-a-half. And as these things come in, we'll continue to see growth in this year, the year after, and the year after that. And we're very optimistic about what type of yield on cost as we also invest some capital that this asset will be able to drive very solid return for our stakeholders.
Craig Mailman: Okay. And then just maybe a second question here. We've seen the discount channel kind of get an influx of higher-income consumers. Have you guys tracked that or seen any of that trade-down in sort of the core client base that you guys have had over the last, three, six, 12 months, whatever timeframe you would look at it?
Stephen Yalof: We're definitely paying attention to the customer. As you're aware, we have a loyalty program that we continue to build and continue to sign up new members. And we continue to communicate with those customers. They opt in for the program, so they share with us their purchasing activity. So, we're seeing where they're coming from and we're seeing what they're buying. So, we're tracking that customer. We are seeing a new customer. I think a lot of that has to do with the fact that we're also trading up our tenant base. So, some of these older legacy brands that have lost the market share or haven't reinvested in their business get replaced with new brands to the channel. We're bringing out a new customer for that too. And I think that higher demographic wealthier customer that's finding the products that they like in the outlet channel and everyday value pricing is a great draw. But let's not forget that generation alpha, that young consumer that's now coming to our center also for a number of brands that we've merchandised to them. I think immediately of Sephora, which is a brand that this younger customer is lining up for. Brands like [indiscernible], who we've done a number of stores with them as well, younger customers seeking those brands too. So, we look to merchandise our shopping centers for the consumer to make sure that they come and visit us more frequently, stay longer when they're there and when they do, obviously, they build bigger baskets and we get better sales.
Operator: Our next question comes from the line of Caitlin Burrows with Goldman Sachs.
Caitlin Burrows: Maybe following up on some of the previous points from earlier in the call, I think one concern is that there won't be enough excess inventory to then bring product to outlet centers. So, I was wondering, do you know how much of your tenant product is made for outlet? How that might have changed over time? Is that a concern of yours? And do you hear anything about this from your retailers yet?
Stephen Yalof: We haven't heard any concern yet. I think that the retailers are probably thinking that they're going to rely far more heavily on outlet than perhaps you're suggesting. If you go back to the COVID case, just as an example, the post-COVID 2021, Tanger saw the highest sales performance on a per square foot basis than we've ever seen in our portfolio. As we're moving back towards those numbers, I think a lot of the reason was because lack of inventory flow and the timing of when that inventory started to flow, it missed the full price selling season and therefore found itself into the outlet channel. So, I think we're far more optimistic about the flow of inventory to the outlet channel. And as we've been speaking to our retailers, I think they echoed that they're not as concerned either.
Caitlin Burrows: Got it. So, you're saying kind of like there might be uncertainty in the near term on those flow of inventory, but like eventually it will come, maybe the timing will be wrong then for full price and that will benefit outlets?
Stephen Yalof: I think so.
Caitlin Burrows: Okay. Got it. And then I guess in light of the new uncertainty that feels like it would be impacting your business, but happy to hear if that's not the case, could you guys just go through how leasing was in 1Q? The earnings release showed that was pretty good. But then more importantly, how it progressed over April and kind of your outlook for ICSC?
Stephen Yalof: Yes. I think our leasing is, we're optimistic about leasing. I mentioned earlier in the call, there's not a lot of new space being developed in the country and there's a lot of demand from retailers. So, there's a couple of ways to facilitate the demand. One is to replace older, less performing retailers with new retailers that want to be in the space. Or when leases roll, asking retailers to downsize and optimize. I mentioned earlier as we talked about Nashville, I was asked what mistakes we might've made in Nashville. And I said, I don't think we densified that 300,000 square foot shopping center now. I think one of our leasing team strategies right now is to right size stores to maximize productivity and create more space in our existing productive shopping centers that ultimately will drive more rent, drive more variety, drive more types of uses, and give us the opportunity to bring in the brands they're looking to get into our channel.
Caitlin Burrows: Got it. Any other details you, I don't know if Justin's there, can give about the April leasing?
Stephen Yalof: Sure. Thanks, Caitlin. Bottom line is the fundamentals of our business are strong and the open advice are there. We talked last quarter about all the tenants that have the open advice and they're looking out not only in 25 and 26, but 27. All of our deal committees that we've had in the first quarter and including April were amazing. You may have noticed that we're way ahead of our renewals for this time. We're about 56%, 57% complete. The reason we jumped out ahead is because of all these open advice and new brands that are looking to come into our portfolio. So we can focus on that new business. The April committee was strong, both from a renewal standpoint and a new business standpoint. So we're really optimistic about the balance of '25 and looking into '26.
Operator: Our next question comes from the line of Hong Zhang with JPMorgan.
Hong Zhang: Yes. Hey, I guess you talked about moving the back-to-school sales to June. I was wondering if there's anything seasonal to call out in terms of revenues or expenses from the shift?
Stephen Yalof: I'm going to talk about. Michael, you want to talk about the revenues? I'll just address the campaign because I think it was a really smart idea on behalf of our marketing department. There's a lot of noise in the marketplace. As Caitlin mentioned, perhaps the back half of the year, if there was going to be some shift in terms of product delivery. We thought it would just be smart if we had a call to action, particularly to drive customers into our centers far more early, as far as any sort of financial shift.
Michael Bilerman: Yes, Hong. If you think about the impact, a lot of our revenues are fixed and growing. And that's where we talk about on a quarterly basis where our operating expenses, given that they're highly variable, will impact that year-over-year. So we saw that obviously in the first quarter with the snow expenses and last year having the expense refunds. We saw that in the fourth quarter where we had larger marketing spend in the fourth quarter of '24 relative to '23. So there may be some timing of that marketing spend throughout the year as we promote different strategies. It doesn't have a meaningful impact overall to that year range that we've given of 2% to 4%, which obviously started the year lighter, just given that comp from last year, where we continue to be optimistic about our same center range. We're cognizant of the macro factors, but all of that's embedded into our guidance.
Hong Zhang: Got it. And I guess on the marketing spend, so it sounds like you wouldn't necessarily be more lean on the marketing channel more this year, just given the economic uncertainty around tariffs and everything.
Michael Bilerman: It's not a significant driver. I mean, it's an important aspect of our business that we drive traffic and it's our teams that are coming up and creating the creative and all of the programs that we have to drive traffic and sales for our retail partners and for the consumers.
Operator: Our next question comes from the line of Vince Tibone with Green Street.
Vince Tibone: Could you discuss trends in foot traffic since the tariff uncertainty heightened on April 2nd and consumer confidence took a hit? I'm just curious if you notice any material changes in consumer behavior or shopping patterns in the past few weeks.
Stephen Yalof: Well, yes. What's interesting is January and February traffic, largely in part to weather and January being a relatively slow month for shopping as it is, we're a little bit more lackluster. We saw the build of traffic start to occur towards the end of March and consistent with the announcement of traffic, our April traffic numbers have been extraordinarily positive. I've heard another of peer REITs in their reporting earlier this week echo the same thing. April traffic to our centers has been extraordinarily strong.
Vince Tibone: That's great to hear. And then somewhat related to that is how should we think about the sensitivity of NOI in your portfolio to changes in tenant sales? So percentage rents have been declining, but my sense is that's a function of you prioritizing fixed rents over variable rents during renewals, no issues with sales. But I was just given the uncertain backdrop here. Tenant sales grew 2% in '25 versus let's say falling 2% in '25, for example. How much does that actually impact NOI for the full year?
Michael Bilerman: Sure. Thanks, Vince. So when you look at our overage rents, what's been happening is we've been sweeping a lot of that overage rent and fixed rents as we prioritize. You look at the overage rent in totality, it's only running about 3% of our total revenues. And so that sensitivity in the current year, it's part of why we have a little bit of a wider range in our business. But it's not significant enough. And what we're finding is, you can look at the overall sales productivity of the portfolio as we've executed re-merchandising strategy, portfolio up to $455 a square foot. All of that's driving higher rents, which is much more impactful to our NOI than changes in overage from changes in sales.
Vince Tibone: No. I mean, that doesn't make sense. Is there any like, quantify it? I mean, maybe not an exact example I laid out, but you see what I'm trying to get at, just like, because there's operating leverage, if you will, with the overage rents, because if you hit the break point or don't, that could influence how much you receive. So that's something I'm overly worried about, but just trying to understand kind of upside downside quantitatively due to sales. But I understand it's hard to provide and it depends on the tenant and nuance. So.
Michael Bilerman: Well, and the range contemplates a range of outcomes relative to that overage rent piece, as you know, right? To get over the break point, they're like options, right? Because you don't get anything up until the break point. And then once you get over the break point, you move up. So we have a range for that line item relative to our numbers. Last year percentage rents were $17.5 million in the consolidated portfolio.
Operator: Our next question comes from the line of Omotayo Okusanya with Deutsche Bank.
Omotayo Okusanya: I wanted to talk a little bit just about the jewelry category. Just a lot of conversation around, diamond prices being down 30, 40%. I think Signet actually may have warned on earnings earlier on this year. Just kind of, how should we be thinking about in the past, right? And like one of their biggest part, the pricing and one of their biggest products coming down so meaningfully.
Justin Stein: Hey, this is Justin. Thanks for the question. So jewelry, the jewelry category has been fairly strong for us. And we've been doing a lot more business with brands like Pandora. Signet a major player in our portfolio. They're thinking about their merchandising and how they're targeting their customers a little bit differently. And we're seeing positive trends in that category, and we're happy with what we see.
Omotayo Okusanya: Okay. That's helpful. And then, Michael, in terms of the swap, the [indiscernible] that expire in August rather than the February swap, how should we be kind of thinking about that? Just kind of given you do have this unique opportunity right now to get attractive pricing on swaps given the unusual shape of the forward curve?
Michael Bilerman: Yes. Thanks, Tayo, for the question. So when you look at our swap activity, page 16 of the Sup, so we have a $325 million term loan that we have swapped from floating to fixed using the swap strategy. Those swaps, we had $75 million that were going to mature on February 1st of next year that we were able to effectively now put forward starting swaps that will reduce what we have fixed at SOFR at 3.5% down to 3.3%. That August $75 million is currently at 3.7%, and we'll look at opportunities just to manage our interest rate exposure to push out those swaps to maintain that term loan is effectively fixed. And so we'll look at those opportunities over the course of the balance of the year to address any interest rate exposure that we have.
Operator: Thank you. There are no further questions at this time. With that, this concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.